Operator: Greetings and welcome to the Blue Bird Corporation Fiscal 2017 Second Quarter Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce to your host, Mark Benfield, Director of Investor Relations. Thank you, Mr. Benfield. You may begin.
Mark Benfield: Thank you, Devon. Welcome to Blue Bird’s fiscal second quarter 2017 earnings conference call. The audio for today’s call is webcast live on blue-bird.com under the Investor Relations tab. You can access the supporting slides on our website by clicking on the Presentations box on the Investor Relations landing page. Our comments today include forward-looking statements that are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters we have noted in our latest earnings releases and filings with the SEC. Blue Bird disclaims any obligation to update the information in this call. This afternoon, you will hear from Blue Bird’s President and CEO, Phil Horlock; and CFO, Phil Tighe. Then, we will take some questions. So, let’s get started. Phil?
Phil Horlock: Thanks Mark. Well, good afternoon everyone and thank you for joining us today for our fiscal 2017 second quarter earnings call. We welcome this opportunity to share with you our latest quarter results, so let’s start with an overview of our sales and financial performance on Slide 4. As we’ve explained in prior calls, the school bus industry is extremely seasonal and first half sales typically represent around 35% to 40% of the full year sales. While despite the typically slow first half, we achieved strong sales results in the second quarter, with almost 2,400 buses sold, which is 11% higher than last year’s second quarter. And importantly a 59% increase over the first quarter. So for the first half of the year, our unit sales were up strong 9%. At $209 million, second quarter net sales were 9% higher than last year. So the net sales revenue growth was a little lower than our unit sales growth of 11%, which we expected, as customer mix and timing of specific customer orders due change between quarters from year-to-year. Our alternative-fuel powered school bus sales mix was stronger 22%, up from 13% mix of sales last year. Now as a reminder, in alternative fuels we can all of our propane, compressed natural gas and gasoline-powered school buses has all of these alternatives to diesel, which has been the stable fuel for years. For the last several years, we've been achieving significant growth in alternative fuel bus sales, and we have not slowed down this year. As you'll hear later, we expect another great year for the industry’s best-selling alternative-fuel school bus. Our adjusted EBITDA of $8.1 million was down about $2 million from last year. The profit decline from last year reflects the change in customer mix that I mentioned earlier, and investments we are making to drive future growth. This was a solid result and consistent with our full year plan. Both our cash and debt positions improved from last year, with net debt of about $38 million lower than a year ago. On the production side, we've been running on two shifts all year, and we ramped up from 59 buses a day in the first quarter to 65 buses a day in the second quarter. Now, we progressively increased production until we hit seven units a day in support of the peak season demand. This ensures that we can meet customer delivery dates in time for school start. That's very important in this business we operate in. This drops a peak increase in daily production rate of only 11 buses is manageable, resulting in less seasonal hires than prior years. That's better for training, better for quality and better for employee turnover. This contract with last year’s production rate when we have to increase production by 24 units a day through the year, which was far more challenging. So we're in a much better position, and we look forward to finishing out the 2017 fiscal year. And finally, both industry data, and registrations and actual orders received, together with a higher quote activity that we are seeing, support our position that new school bus industry should grow by 3% to 4% this year and reach around 33,500 to 44,000 new buses. So, all in all, a solid second quarter for Blue Bird and in line with our expectations. Let me now review our second quarter key operating achievements on Slide 5. We recorded a number of significant achievements, and each one will make us more competitive and support our growth going forward. Through our dealer network, we've seen more than a 20% increase in units quoted over last year. Now some of that is double counted because of our breadth of engine offerings, where customers are quoted not only for diesel, but also propane and gasoline and compressed natural gas. But this is a really good indicator of the strength of the industry and, in particular, our customer interest in Blue Bird's unique and expansive product range. You've seen that translate into orders through Monday of this week, our fiscal year-to-date volume of buses already sold and delivered, plus our backlog of firm orders, is up 8% from the same time last year. I can tell you now that our third quarter production slots are completely filled. And we are well on our way to filling our fourth quarter slots with firm, non-cancelable orders. I have mentioned, in prior earnings calls, a cornerstone of our product strategy is to bring to market differentiated products and features that customers want and value. While we've been working on making our class leading propane powered school bus even better. And we expect to see certification any day now from the California Air Resource Board to the lowest level of emissions in any propane school bus manufacturer. In fact, on certification, our recognized NOx level, which is a barometer for emissions, will be one quarter of that of our competitor's propane buses. That's another great environmental reason for choosing Blue Bird propane. Same alternative fuels, as I mentioned earlier, we have seen the biggest growth in our orders in this segment of our business, and that continues the trend we have seen these past few years. As a reminder, in the last year, we launched our latest generation propane powered bus, we call it our Gen 4, an all-new and first to market gasoline powered bus and an all-new Type C bus powered by compressed natural gas. These three products, which are all exclusive to us through our contractual partnerships with Ford Motor Company and ROUSH CleanTech together with our compressed natural gas Type D bus powered by Cummins Westport engine, represents a substantial 43% increase in orders compared with the same time last year. Importantly, just this year, 275 customers have placed their first-ever orders for Blue Bird's alternative-fuel powered buses, and many of these are conquest accounts. We're very excited with the customer response to our new engines, and I'll cover alternative fuels more in a couple of slides. To showcase all of our products and features to our dealers and customers this year, we completed our sixth and our seventh ride-and-drive event this past quarter. I can tell you, feedback from dealers and customers to these product immersion tours or Pit Stop as we call them have been outstanding. And more than 650 customers and 170 dealer personnel have attended them. Meaning they can try our vehicles, test our vehicles and drive them personally. It's been very successful. We've also made several key leadership appointments to accelerate change and to focus on growth in the important areas of quality, dealer development, customer service and our commercial and international bus business. We believe the importance of investing in the right people and the right processes to drive growth. And finally, we are reaffirming our full year guidance for our key financial metrics. So let's now take a closer look at our second quarter financial results on Slide 6. Second quarter net sales of $208.7 million were $17.4 million or 9% higher than the same period last year. First half sales of $345.3 million were up 7% from last year. This result was in line with our expectations. Bus and part sales grew by 9% and 4%, respectively, in the second quarter, with both segments achieving a solid 7% sales growth through the first half of the year. At $8.1 million, adjusted EBITDA was down $2 million from a year ago, which explained by customer mix and retiming of orders between quarters and investments in resources to drive future growth. We deal with this quarterly lumpiness in the ordering pattern throughout the year, but we are well-positioned to meet our full-year objectives, and we're on plan. Turning now to Slide 7, let's take a closer look at our alternative-fuel bus sales performance. As of three days ago, we have almost 3,000 bookings and firm orders in hand for our combined propane, gasoline and CNG-powered school buses, representing a substantial 43% increase compared with the same time last year. That is a very strong customer endorsement of our new alternative fuel powered buses, and we're particularly pleased with the continued growth in propane and the outstanding acceptance we received to our new gasoline engine. We continued to be the undisputed leader in this growing school bus segment, with our market share running at around 80%. We're still only about 10% of school districts having purchased an alternative-fuel powered bus. We are well-positioned for future growth in this industry. Looking to the full year based on orders in hand, and our pipeline of potential orders yet to be placed, we project full year sales of alternative fuel powered buses to be over 3,500 units, and it could represent more than 30% mix of our total full year sales. Now that compared to the mix of 17% just two years ago. Now that's exciting growth by having class leading products. Now let me turn you over to Phil Tighe, who will take you through the financials. Then I'll be back later on to cover the fiscal 2017 outlook and guidance. Over to you, Phil.
Phil Tighe: Thank you, Phil, good afternoon everyone. The next few slides will be a brief summary of our financial performance for the second quarter. There also slides in the appendix that are point out the deal with reconciliations between GAAP and non-GAAP measures mentioned in this review. A further detail in discussion will be available with our 10-Q filing, which I believe will be available to everyone later this afternoon. The second quarter material we're discussing is based on the close of April 2, 2016 and April 1, 2017. And I'll remind you that the fiscal year for Blue Bird is from October through September, so this is the close of our second quarter. Furthermore, I point out to you that the risk factors are unchanged from our previously filed 10-Q, and I would also suggest you take note of the disclaimers at the end of this deck. Let's move to Slide 9, which is a summary of the second quarter results. I won't go through much of the data that Phil has already covered. So if you look at volumes, I don't think I'll get into that, but I would like to point out that the second quarter volume for 2017 of 2,367 units is, in fact, our best result since fiscal year 2008, and is also better than our internal plan. This volume is really driven by continued strong performance by our dealer network throughout the U.S. and Canada. If we look at net revenue, Phil already talked about the improvement in net revenue. Total bus revenue was up about 9.5%, but as indicated on a per unit basis, it was down by a little over 1 point. Unit revenues were impacted by a few things, and I'll just briefly touch on these for your information. The first one was that our All American bus, which is the sort of flat nose bus, the very – the biggest buses we make. The mix of that was down in the second quarter. These buses tend to have a much higher passenger capacity and features. And therefore, a higher revenue than our Vision bus, which is the bus with the nose. We don't – this is not a long-term issue. We have our orders in hand for the balance of the year, and these buses are going to be very strong in the second half, and we will be on plan with the mix of these buses, but it certainly did drive some reduction in average revenue in the second quarter. The success of our new lower priced gasoline bus is going to continue to have an impact on average revenues. The gasoline bus is a lower-priced bus than our typical diesel bus. We continue to think that, that – or we know that, that will continue to impact revenue somewhat in the second half because we have quite as Phil mentioned, we have a lot of orders built up for gasoline as well as propane. We also had strong sales of diesel and propane buses in a number of markets where Blue Bird has not traditionally been a major player. This has resulted in some deterioration of average revenue, although we see it as a strong longer-term contributor as we conquest volume in some of these markets where we've typically not been a strong player. The final thing I would say about revenue and it's not necessarily a year-over-year issue, but the mix of propane in the second quarter was lower than we expect for the full year. We have – we will have a lot of orders bookings made for propane in the second half. But the fact that it was about equal to last year's mix, our results in a lower than – lower average revenue than we should see for the rest of the year. Parts revenue was up about 4%, and this builds on the improvement we saw in parts in the last period. And is an endorsement to the work the parts team is doing to improve competitiveness and expand the range of products they sell. So we're very hopeful that improving revenue in parts will continue through the rest of the year. Let’s turn to gross margins for a minute. We were about 1.3 points below last year. This was, obviously driven by the mix issues that we talked about in the revenue discussion. But also due to somewhat higher labor costs, due to some product launch issues during the second quarter, which caused efficiency to reduce some higher over time and economics as we gave our associates in the plant a wage increase. The more aggressive position that we're taking on parts sales is also somewhat of a deterioration in marginal and non-substantive. Net incomes and earnings per share, I'll point that out to you. Net income, we're pleased to announce was positive at $2.7 million. You might recall that in the first quarter, our net income was a loss of $8.5 million and that was principally – that was driven by the extinguishment of costs related to our prior loan, which was $10.1 million. So we're pleased the fact that we have a $2.7 million net income in the second quarter, and we expect that to improve substantially as we go through the rest of the year. Earnings per share for the second quarter were $0.07 a share. We'll talk about adjusted EBITDA more on the next slide. I will just point out the debt and cash are substantially improved, both of them versus prior year, and we'll see the results of net debt later in this section. Please turn to Slide 10, which is the bridge. You can see the adjusted EBITDA, Phil mentioned that it was $8.1 million, it's down about $2 million. You can see the drivers there, bus gross margins. We've talked about – and parts is up about 10%. The higher operating expenses again were due to supporting our product and the future. Part of it was due to the product immersion tours that Phil mentioned. This was extremely successful. We provided the opportunity for 650 present and potential customers to drive the buses. Importantly, they got the opportunity to drive the new gas bus, the propane buses and the Vision C and G bus. And they had the opportunity to have detailed conversations with our team about the benefit of each bus. We are also starting to see orders come in from these customers for those units. We had somewhat – Phil mentioned, we had strengthened the organization in some very key areas. So we're seeing some higher employment costs, and we also increased salaries to – for our staff to remain competitive in the middle Georgia market, which seems to be getting more competitive as some new industries are moving in this area. Finally, also included in the other, was the retiming of some JV income of about $2.10 into the second half. That's purely a timing issue, we'll get it back. So despite the second quarter being down versus last year, we are very comfortable that we're on track to achieve the previously communicated profit guidance for 2017. Some key issues there or key reasons for that: we have, as Phil mentioned orders in hand for all of third quarter production. And we're rapidly filling the available production for fourth quarter. We also, obviously have visibility to margins and mix of units for all of those orders in hand, so that gives us the ability to accurately forecast where we'll be going. As discussed earlier, we've got a very strong mix of alternative-fuel and All American buses in the second half. And this will contribute very handsomely to profits. Material costs appear to be in line or better than planned for the second half, so that's going to be positive for us. And Phil also mentioned, the work we did and the costs we took on to have a more stable labor force through the first half, which is obviously, going to support us very well in the peak season that we're in now, and we will be in for a few months to come. And finally, in recognition of some of the margins that we've experienced in the first half, we have made some cost-cutting to make sure that we absolutely meet our targets. I'll just go to Slide 11 really quickly. This is the free cash flow. This slide shows the cash flow and adjusted free cash flow for fiscal year 2016 and for 2017. The free cash flow was $20.7 million, or $5.2 million lower than the same period last year. Key drivers are, obviously, lower EBITDA as discussed; lower prepayments, and this is I think primarily GSA related, where we had a prepayment from NIM; and a small increase in cash taxes. We also – the walk from free cash flow to adjusted free cash flow is a one-time payment for services for an investment banking fee. The other thing I will point out in there is you'll see that cash taxes paid for interest are improving. You will recall that we refinanced our loan in the first quarter. And we're starting to experience the benefit of lower interest rates from net refinancing. Finally, for me, I'll turn you to Page 12, on debt. You can see our debt was $155 million, and our cash was $38 million, so that's $116.5 million of net debt. This compares to $143.7 million at the end of the first quarter of fiscal year 2016 – sorry $154 million at the end of the second quarter of fiscal year 2016, it also compares to $143 million at the end of first quarter of fiscal year 2017. That’s a tongue twister. Our net leverage ratio was about 1.71x, substantially below the covenant of 4x. Liquidity stood at $108 million, and there were no drawings on the revolver. Liquidity, at the same time last year, was about $83 million. So let's quick run through our financials. As I said, the more detailed filing should be available shortly after we finish this conference call. And I'll now turn you back to Phil for a wrap up.
Phil Horlock: Okay. Thanks, Phil. Let’s now talk from the outlook for the year and our full year guidance. First let's turn to Slide 14. As the headline says, we're focusing continued growth in the industry and for Blue Bird. We're projecting new bus sales, as measured by industry registrations compiled by R.L. Polk to grow 3% to 4% reaching up to 34,000 new buses. We are also forecasting Blue Bird unit sales growth for the full year of between 6% to 8% outpacing the industry and supported in large part by the substantial year-to-date growth of 43% in alternative-fuel powered bus orders that we have in hand. Our year-to-date total bookings and order backlog are strong at 8% above the same time last year and quote activity is higher too, and we are now filling our production slots in the fourth quarter, again supporting our view of the 6% to 8% growth for the full year. So with the seasonality of our business, we project very strong growth in financial performance in the second half of the year, which we've done for the last several years, with higher sales in support of school start. That said, we are beginning to invest in the development of new and exciting products that will foster future growth, and we are mindful of increasing commodity prices, which we're monitoring very closely, particularly steel. So let's now turn to fiscal 2017 full year guidance on Slide 15, which reflects these factors. As we mentioned earlier on the call, we are reaffirming the full year guidance we provided on our last earnings call, with growth projected in each of the three metrics. First, net sales of between $980 million and $1.10 billion, up $48 million to $78 million from fiscal 2016. Adjusted EBITDA of $72 million to $76 million, which is flat to an increase of $4 million from last year, as we continue to invest in new products to drive future growth. We believe it's important for our long-term goals to grow the business, obviously, and to improve our profitability. Adjusted free cash flow continues to be a strong feature of our business model, representing over 50% of our adjusted EBITDA in typical years. And we are reaffirming guidance of between $38 million to $42 million, an increase of $5 million to $9 million over last year. So in wrapping up, we have a solid second quarter and first half performance, and importantly we have sales momentum, particularly in alternative-fuel powered buses. We look to continue the substantial growth in the second half of fiscal 2017, as demand increases in line with the seat out of our business and our guidance supports this. We'll continue to update you on our progress each quarter. So that concludes our formal presentation. I'm now going to pass it back to our moderator, Devon, to begin the Q&A session.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Eric Stine with Craig-Hallum. Please proceed with your question.
Eric Stine: Hi, everyone. Thanks for taking the questions.
Phil Horlock: You bet, Eric.
Eric Stine: So I'm very interested in the 275 new alt fuel customers. Just – could you just give us a comparison if you're able to, year-over-year and then also just characterize the size of those orders? I mean a safe assumption that those are pretty small and that the next when those customers come back for that second round of orders, you would expect that to expand potentially, significantly?
Phil Horlock: Yes, it's a great question. Obviously, new fiduciary [ph] gasoline, so that's a big piece for the gasoline we believe we got really good acceptance so we are selling just about in every state across the nation now. So when you look at the 275, you look at the fact that I mentioned there, we have orders in hand there just under 3,000 in alternative-fuel powered buses. You're right, some of those orders are quite small, you get customers are trying gasoline for the first time obviously, diesel for the first time for many of these folks and they're in that 275. We still got customers are trying propane for the first time but the majority of that is really around our new gasoline customers coming to us, looking at it. They love the simplicity of gasoline. They understand it and of course, as you know, it's a terrific acquisition price. It's a really, really nice price points for those customers, so as we've seen with propane and we’ve got several years of that, typically what happens these customers come in, they try these products, relative to lower volume, they like them typically come in the follow the year with a higher level of business for us. So obviously, we're very excited to be welcoming 275 customers to the Blue Bird lineup.
Eric Stine: Yes, congratulations on that. Maybe, I guess sticking with alt fuels especially – well, propane and also gasoline and at the product immersion tour event, I got a little color on this, but just – could you talk a little bit about the VW funding that is coming and some of the steps that you are taking in your dealer network, but also with your customers? I guess, first so that propane and gasoline are part of the funding, but then also Blue Bird being positioned for them.
Phil Horlock: Yes, that’s a good question. Obviously, we're well aware for of the VW opportunity, the funding availability of this company, which is going to be spread among a whole bunch of different sectors, look I don't want to get into exactly what all our competitor practice are in the space, so legal to say, we look at our propane products, Eric, as you know, we believe, and we’ve seen this time after time it has the best total cost of ownership value of any bus on the road, no matter what type of fuel it is, nothing is proven in our performance in that. So not surprisingly, when we look at that VW money, we look at our opportunities there with our propane products really not only use that money. But provide the best value for our customers out there. Because yes, there's going to be money available but we want to make sure it spent wisely the wiser you spend it, the more buses you can buy, and we think we're very well-positioned for that with propane and with gasoline of course.
Eric Stine: Okay. So maybe a last one for me, just in terms of the large contractors, I know, a few quarters ago I asked and you thought early in 2017, you'd have a better idea. I know 2016 was pretty quiet. I mean any indications that those large – some large contractors are out there with some orders that could be had later in the year?
Phil Horlock: We're still working with those large contractors obviously we've been bidding regularly on that piece of business. It’s you know 2009 technical term we use, it can be a lumpy business year-to-year. As you know, we don’t have a long-term contract firm relationship with either first student or NEC, but we’ve been a great partner and we’re very pleased our relationship with STI, and we continue to do a nice business with them. But we have also sold some of our alternative-fuel products to the other companies too because we’re able to bring the best product to market. So it’s really been our dealer channel, quite frankly. There’s been a great story for us this year. Dealers have done a terrific job embracing our products that are out there, done a terrific job looking to rather than school districts, and that’s like it has been for us for many years and by far the vast majority of where our business comes from.
Eric Stine: Got it, okay. Thanks a lot.
Phil Horlock: Thanks, Eric.
Operator: Thank you. Our next question comes from the line of Matt Koranda with Roth Capital. Please proceed with your question.
Matt Koranda: Hi, guys good evening.
Phil Horlock: Hi, Matt.
Matt Koranda: Just wanted to cover the gross margins during the quarter if we could with a little more granularity, I think you guys highlighted the mix part reasonably well in the prepared remarks. But can you just highlight or quantify if there was any raw material cost increase that fed into the gross margins during the quarter? And then just, could you provide a little more detail on what was the product launch that drove the labor inefficiencies?
Phil Tighe: Matt, this is Phil. Material, we had reasonably good story on in the first quarter – first and second quarters. We have as you may know, we have long-term contracts with the majority of our material buy, and we were able to take advantage of that. So we’d see a great deal of material – pressure on material. We will probably see a little bit as steel continues to rise in the second half but that’s well within our planning base. So, all in all, material I think was good. I think that one place – and I didn’t mention it in the discussion on margins previously, was we sold quite a lot of units in Canada, both in the first and second quarters. And obviously, the exchange rate over there has been hurting us a bit. We – the Canadian schools pay in Canadian dollars. And so we can’t just pass the large move that’s happened in the exchange rate straight through to them, so we did take a hit to revenues by our sales in Canada, and we have been quite successful in Canada right across the country, to tell the truth. We’ve done well in Quebec and Ontario and Alberta and even Saskatchewan. So we’ve been doing well in Canada. So that’s something that we’re hopeful that the exchange rates might flatten out a bit over there, but that’s one that has pressed us a little bit on margins. I’m sorry Matt, I missed your final piece of that question. Could you repeat that?
Matt Koranda: Yes, sure. I think you were talking about a program or a product launch during the quarter that had some labor inefficiencies that…
Phil Tighe: Yes. I think there was relatively small change on the diesel engines on emissions move. And for some reason that I don’t want to really go into, we had a few hiccups getting that engine into the bus, and that caused some labor inefficiencies during the second quarter, it’s lined out and working very smoothly now, but we just had a few parts that we had to change around somewhat and do some – do a little bit of rework, but we’re beyond that.
Matt Koranda: Okay, got it. And with the Canada mix of unit sales for you guys have like higher than normal this quarter? Or you’re just referencing FX being a headwind?
Phil Tighe: It was up and FX is an issue.
Matt Koranda: Okay. And do you – are you able to break out or quantify the Canada mix and unit sales for the quarter?
Phil Tighe: I’m not – I can’t, sorry.
Matt Koranda: Okay, all right, got it. One other thing I wanted to cover I think on Slide 7, you guys are sort of implying roughly another 600 units in alt-fuels that you expect to book and deliver during fiscal 2017. Can you just talk about sort of the visibility that you have into that number? And what may swing it higher or lower for the year for you guys?
Phil Horlock: Yes. This is Phil Horlock. The way we look at this, obviously is let me talk about bookings and backlog, here we are in a call today, we’re talking about the second quarter results. Well, we already have visibility, many weeks – several months, almost three months into the future. Solid firm plans in place so we are sitting in May, we’re talking about many months – we’re already well into the fourth quarter. So we have a good sense of what we’ve already got in that order bank, we know the price of those units, we know the spec of those vehicles, we have a good sense of that. We also operate what we call our own pipeline, unlike all industry does, we know whether our quotes out there, we know when the school boards are meeting, and we track on that and when order – when the decisions are going to be made. So we use our pipeline of opportunity, plus the orders we still have yet to build, and that gives us the confidence of the 3,500 units we mentioned there. So we have good visibility at this point in time.
Matt Koranda: Got it, okay. And then any more color or breakdown that you maybe able to provide on sort of gas versus propane in that, I know CNG is kind of nominal, but any directional commentary at least on gasoline…
Phil Horlock: I would say this, propane continues to our best-selling alternative-fuel powered school bus it really is. But gasoline has done extremely well, and I wouldn’t say it’s overtaken or anything but I’d say it’s doing very well. I mean, so propane is still one, gas is two, and CNG is three but we are delighted with our gasoline performance. Yes, I just don’t want to get into specifics but we’re very happy. I think the issue is – the reason for us its nice that we’ve been out there now for several years without Ford propane engine which obviously is the bases for our gasoline engine our customers understand that. So it’s going really well, and it’s well accepted.
Matt Koranda: Got it, okay. Maybe one last one for me guys just kind of looking out over the next year or so. I know EBITDA margins this year had compressed a little bit in terms of the outlook just because the incremental SG&A that you had to spend for some growth programs. Could you just kind of – I think you quantified it before but could you update us on sort of the latest on the spend, the incremental SG&A for the year – to support your growth programs. And then when do those sort of taper down or are we expecting sort of better EBITDA margins to shine through in fiscal 2018, how do we think about that further out?
Phil Horlock: Yes, I mean just a little, its obviously, you’re right, we put in some SG&A this year. We’ve also kept our engineering high, we believe in products. We believe in bringing our products to market, and we said that people want and value. We saw that propane certification we’re going for here on a NOx level again that’s another puts us right further in front than they’ve already been. So I think you’re going to see us keep investing in products going forward, we’ll probably have somewhat of a nominal sort of level now on that. On SG&A side, those pick toward as we put in place. We find them successful, they work for us, those – the product immersion tours that was new spending for us this past year. You also said me talk about quality and customer service and just do a little work on dealer development too in terms of really making sure our dealers are operating as best they can with our assistance. So we put those processes in place this year, we put the people in place this year. So I think this has been a year, I think, of really setting ourselves in place for future growth, and we sort of like where we are right now, I guess, what I’d say.
Matt Koranda: All right, guys. I’ll jump back in queue. Thanks.
Phil Horlock: Thanks.
Phil Tighe: Thanks.
Operator: Thank you. Our next question comes from the line of Chris Moore with CJS Securities. Please proceed with your question.
Chris Moore: Hey, guys thanks for taking my call. On the gasoline buses, just obviously their lower price are doing extremely well. How could you tell if it’s those are taking share from propane or other buses versus kind of incremental sales?
Phil Horlock: Yes. It’s good question, Chris. So what we do is, we obviously, we’re buying data, I mean we know, when a customer comes to us, we know what buses – whose buses they buy whether our competitors, we know whether they been a diesel supported before or propane supported before. And so we do categorize them in terms of what they can say is a genuine conquest, being that we’ve – they’re new to the Blue Bird family, and new to our team and new to our product. And we also know whether they may have been a Blue Bird diesel customer previously already, propane or a CNG customer previously. So we know exactly what they were doing before, and I’d tell you, it’s really work great for us. It’s been a really nice conquest tool for this year to bring a lot of new customers into the Blue Bird family, we’re excited about it.
Chris Moore: Got you. So, Tighe, I think you mentioned the gross margins on the parts where you're down a little bit. Is that a kind of a conscious move or just was mix? Or how does that work?
Phil Tighe: No, I think we talked about this before Chris, it's – we're trying to grow our parts business. And one of the things we're doing is, we're selectively getting more competitive in some areas and introducing some product lines that will probably have a lower margin because of the nature of those products. So the parts margins are going to stay very, very good, but I think that will edge down a little bit versus where they been historically, and we will see the benefit through increased sales and increased total profitability from parts. Where we'll update on where our parts business is going, we've got a good management team over there, and they're really doing some innovative things to grow a business.
Chris Moore: Got you. Last question, the $3 million one time investment banking fee, can you refresh me, what was that related to?
Phil Tighe: Okay, well that was related to, you might recall several months ago our major shareholder, American Securities made a move to try to buy the remaining shares of the company, we want a special committee and that special committee had an investment bank and that was the fee to the investment banker. That's done behind us and all finished now.
Chris Moore: Got you. I just wasn’t sure if there was some – some M&A on the horizon that I can read into on this.
Phil Horlock: Not at this point. No.
Chris Moore: Okay, got it. All right, appreciate it.
Operator: Thank you. Our next question comes from the line of Mike Mork with Mork Capital Management. Please proceed with your question.
Mike Mork: I got a question just on the channel, the alternative-fuel powered bus sales. If you are going to take an educated guess in five years, what would the industry mix be versus conventional diesel alternative-fuel and what would your mix be?
Phil Horlock: I'm not going to take a wild guess.
Mike Mork: Okay. I think, can you guess, sorry.
Phil Tighe: Your guess would be better than mine, I know that.
Phil Horlock: I look at, like I said we’re 30% we think we could be in over 30% alternative-fuel mix this year. I think going forward, we certainly see that will keep gaining traction, so I'm – I tend to look at things like maybe 50% a few years from now, and obviously they got a five years or three years but we intend to keep giving customers what they want. I mean we're going to keep improving those products and giving a better value proposition, and we love the fact they are exclusive to us. And we love the fact we've been in the alternative-fuel business for about 9th year now [indiscernible] most recent generation of propane being which I mean installed by an OEM. So I think when I look forward, yes, I think 50% is on the road and when we reach 50%, we'll take a look where that can take us, but I think that's probably three to five years out something like that.
Phil Tighe: The acceptance is just growing and the interest is growing and obviously, there's more and more interest in clean emissions and simplification is important and that's what they offer, that's what we can offer.
Mike Mork: And if you are at 50% say in three to five years what was the industry would be like, about 30% or so?
Phil Horlock: Well, it depends on what our competitors do. I can't really comment on that, I just know –we are just going to keep doing what we're doing. I mean, obviously, right now 30% our sales let’s say, that's where we think we're going to be. I don't think the competition – the competition a long way of that number. So it's difficult to say where the industry will be, but we're confident we’ll certainly continue to hold the vast majority of the share of that business.
Mike Mork: Okay, thank you.
Phil Horlock: You bet. Thank you.
Operator: Thank you. This concludes – there are no further questions at this time. I'd like to turn the floor back over Mr. Horlock for closing comments.
Phil Horlock: Well, thank you, Devon, and thanks to all of you for joining us on the call today. We appreciate your continued interest in Blue Bird. As you can see, we are focused on profitable growth, and we intend to deliver on our commitments. And we're well-positioned for growth today and into the future by the actions we're taking, even today, to build a better model for the future. So please don't hesitate to give a call to our Head of Investor Relations, Mark Benfield, should you have any follow-up questions. We're always happy to answer and help you where we can. So thanks, again, from all of us at Blue Bird, and we wish you a good evening.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.